Unidentified Company Representative: Ladies and gentlemen, good afternoon. Welcome to the Annual Results Announcement of ABC. It's a great honor to meet our online, on-site, international, domestic investors, analysts, and media friends. With that, I would like to express my appreciation to your active participation and my thanks go to your long-term support and interest in the development of ABC. Today, we have with us Mr. Lin Li, Vice President of ABC; Vice President of ABC, Liu Hong; and Vice President of ABC, Mr. Wang Wenjing; and Vice President of ABC, Meng Fanjun; and Mr. Liu Qing, Board Secretary of ABC; and directors -- some other directors are joining us online.
Wang Wenjing: I'd like to present some of the [big effects] (ph) on three aspects. First one is operation results. In 2024, ABC implemented the strategies from the government and provided support to the agricultural development as well as real economy, optimized our management strategies, major operating indicators are performing good. First the growth rate in the first half of 2024 turning from negative to positive, and in second half of 2024, we continued to optimize. And the total net profit, RMB222.7 or 4.8%, and operating income RMB711.4 billion or 2.3%, interest income RMB580.7 billion, 1.6%. And then, second, newly growth loan, RMB2.29 trillion or 10.13%. The growth of corporate and individual loans or personal loans are leading our peers and also the individual loan where the discrepancy is 0.42% and also leading among the peers. Asset quality was sound. NPL ratio, 1.3%, down by 3 bps from the year-end of last year. Special mention loan ratio, 1.4%, down by 2 basis points. And overdue loan ratio, 1.18%. And over -- the ratio of overdue loan to NPL [90.93] (ph). And provision coverage ratio 299% and remain well capitalized and risk resilience. Capital adequacy has increased, we issued around RMB320 billion TLAC and a capital bond. And CAR increased by 1.05%, CET1 CAR was 11.42%. And also, the return to investors has been increased. The dividend ratio and potential and performance has been recognized by investors. In 2024, the stock price of A share and H share has increased by 55% and 58%, respectively, and also ranking first among the comparable peers. Recommended by the Board of Directors based on the interim dividend payout and there will be RMB1.255 per 10 shares plus the interim, so we'll have RMB2.419 per 10 shares and we have around RMB80 billion of dividends payouts. Measures we have taken, the operating results or performance are attributable to the strong leadership of the CPC Central Committee and the government. It also -- it is also possible because of interest in the customers paid by the customers and the private sectors, we [achieved] (ph) to the high-quality development. More specifically, our job are done in the following five aspects. First, we focus on our main business and continue to strengthen our financial service to the agriculture, farm and rural areas, and the strategies development has a broad special or a broader room for the development of ABC. We focus on the agricultural area on county level and enhance our service capacity in the county level areas. In terms of the business growth scale, the county level growth exceeded RMB1 trillion, balance RMB9.85 trillion accounting for more than 40% of the domestic loan balance. And the annual growth rate of the daily balance, RMB1.1 trillion, and a balance RMB12.53 trillion accounting for 44% of the total loan balance. So, the county level has provided a more and more important role in the development of ABC. We focus on food security and also consolidating the poverty alleviation and enhance our financial support, growing and the loan balance to the important agriculture products more than RMB1 trillion and also we have more than 15% growth rate of the agriculture area. And then, in farmers, we also increased our coverage of the loan to farmers to help the farmers. Huinong E-loan reached RMB1.49 trillion, 37.7% growth. And then, second, focus on the real economy to the five key chapters of finance. We focused on the real economy, continue to enhance our financial supply with the reasonable growth rate of the volume. We focus on the five chapters -- five key areas of finance and enhance the investment in the key areas of what's the weak links of the economy to enhance our -- the quality of financial service. And in fintech, we actively innovate our financial products as well as the service mechanisms to focus the fintech where the technology companies who established the specific credit service system. And for the technology companies at different development stage, we build a whole life cycle matrix of the products and we rolled out then the empowerment loan as well as external direct investment loan, and also, we established in the equity investment, pilot fund and we assigned a strategic agreement within the cities and relevant businesses were put into operation by the end of 2024. ABC's loan balance to [strategic] (ph) areas more than RMB2.5 trillion, growth rate more than 22%. And in green finance, we implemented the green finance strategy focused on the clean energy and the upgrading of infrastructures as well as energy conservation to enhance our asset supply and credit supply. And based on the features of ABC were rolled out in the three agricultural integrated development to enhance our grain agricultural development as well as the improvement of the environment in rural areas, enhance our credit supply as well as in the service to the green growing investments and we originate the green bond and also enhance the appropriate green bond investment and innovate the ESG theme, WMP. And the green bond balance, RMB4.97 trillion, an increase of 22.9% from the year-end of last year. In green finance -- inclusive finance, we established ABC featured online/offline integrated as development model create a multi-scenario credit products to lead the inclusive finance borrowers' demand. And we implement the support to small and micro borrowers and visit the credit volume. And the borrowers we visited, those indicators were ranking #1 among the comparable peers. By the end of 2024, the inclusive finance loan balance increased rate more than 30% for six consistent years and the balance, RMB4.66 trillion, #1 among the peers, the largest coverage and the sustainable development is the best among the peers. In pension finance, we support the multi-pillar pension fund development, the real social insurance card and the QR code, that number has been leading the peers. And the management scale and the number of the pension fund is increasing rapidly. And we actively supplement the supply, product supply, newly added 140 pension fund products and also pension funding finance has been developed. The loan has been grown at 68%. In digital finance, we use a digital plus algorithm. We rolled out [indiscernible] E-loan and Xujie E-loan as well as other innovative products. We use the enterprise-level architecture as well as digital tools to provide the bottom line to support to the customers. So, we have online/offline. And agricultural e-loan, the balance reached RMB5.73 trillion and 34.8% growth rate. ABC actually responded to the financing mechanism in the real estate sector. We approved more than 1,000 white list projects and provide RMB400 billion loan balance and promptly reached the major projects, equipment upgrading as well as we signed around RMB130 billion and also loan balance is RMB28.5 billion and support the cross-border RMB settlement, the growth rate is 13.7%. And the third, we focus on the people's livelihood. Finance for people's livelihood is the basic feature of finance while maintaining its own sustainable development. ACB stay true to its mission to serve people's well-being, to serve the immediate problems and the interest of people's livelihood. To provide people's livelihood, we enhance financial support in education, medical care and housing and the loan balance has been -- individual loan has been increased by around 1.94%. Number one, in the major way, the personal consumption loan and growth at 28.3% also #1 among the comparable peers. For the key customers, we optimize the aging population as well as the international friends living in China, we provide the channel optimization as well as other areas to provide a more inclusive and more convenient environment for payment and provide the wealth [indiscernible] of the people putting out of poverty, and we provide the people, we provided the benefits to around RMB580 million. And for the customer right protection, the mechanism for the whole life cycle of the products as well as the service provide the rights to now as well as other legitimate rights of consumers. In 2024, for 1,000 outlets and for 10 million complaints are the least. And also the regulators comments or feedback has been improved. For the consumer finance, and also, we responded to the jobs to enhance our headcount hirement and to supplement vacancy since 2021 for each year. The newly added employees are among the peers. And in 2024, we hired 32,000 employees. In the future, we will continue to hire more employees. In 2025, we will increase our headcount. Recently, we noticed that the spring hiremant, the hirement or headcount plan is an annual plan. So please look at the figure in the whole year so that they'll be more comprehensive and to get a new paramount picture about the employment by ABC. We focus on the risk control, focus on the development as well as risk control. Risk control is the top priority of ABC. Risk management focused on three areas. First one is a key area of risk control, market risk and technology risk control for the key areas, risk control, ABC focused on the preemptive deployment. We have more active and intelligent risk mechanism focus in new emerging areas, industries and retail and the inclusive finance to -- we have the borrower or the customer specific to do the risk mitigation and also province-specific mitigation measures. And also enhance the platform market risk control and enhance the [indiscernible] monitoring and also optimize the exposure and enhance the market risk, monitor is more targeted and really effective. And for the technology risk control, we put forward in the three areas: risk discovery or recovery, and also, we completed the distributive architecture, final accounting and enhance the cybersecurity mechanism -- protection mechanism and also the daily transaction has been RMB1.5 billion and also the service availability rate and the important time has been 99.9%. And first focus on the reform and innovation. Build on the new driving force of businesses, in 2024, ABC implemented on the spirit of the Third Plenary of AC20's CPC Central Committee had explored in technology innovation. We build the intelligent banking system, and we put in the digital and AI application. While at the same time, explore the application of large language models, using technology to empower our internal management in improving the efficiency of internal management control. For business management, we deepen our reform of the agricultural development to ensure the support, and we coordinate the pricing and volume and make the pricing more targeted and also enhance the credit review, improve the credit granting efficiency. And for the first service efficiency enhanced in the CRM team, CRM has been increased to 113,000 and the queuing time at outlets has been reduced by 20%. Now, I'd like to refer to you on the third part, that is in 2025, our outlook for 2025. So, in 2025, the economy turned for the better and the momentum remained good. So, we believe that with the continuing on leasing of the consumption boosting policies, we think that the consumption will remain stable and investment will continue to maintain fast growth. For our infrastructure investment, it will be supported. Housing market will continue to be improved. In terms of export, although there are some uncertainties, we estimate that will remain resilient. And in the meantime, we also have more proactive policies, monetary policy and fiscal policy that will be strengthened to enhance macro management and control. So, all this will actually provide a very good external environment for us. And also for 2025, it is also the end year of the 14th Five-Year Plan. So, the ABC will continue to strengthen risk management, promote growth to continuously improve our development and to serve the real economy and maintain the stability of the financial sector and also to provide sustainable and tangible return to our shareholders. Specifically, firstly, we will stick to our main business and to strengthen the county level agri-related development. And secondly, to support the macroeconomy policy and to further enhance the five priorities in the financial sector. And thirdly, to strengthen risk management control and keep the bottom-line of risk management control and also to improve customer satisfaction and improve reform and innovation. So much for my presentation. And now, we're going to enter into the Q&A session. Ms. Liu will be hosting the session. Thank you.
A - Liu Qing: Thank you, President Wang. Now, going into the interaction session. So, for this session, one delegates are limited to only one question. Before raising question, please identify yourself. So, now the first question, the gentleman, please.
Unidentified Analyst: Thank you. Thank you for this opportunity. I'm from CIC. I'm [Lin Qi] (ph). In 2024, operating income and the profit growth is the first among the peers. So I'm wondering what's the reason behind this? And what is your expectation for the sustainability of such a good momentum this year? Thank you.
Wang Wenjing: I'll take this question. Actually, in my presentation, I've already talked about the five focuses of our work, which to some extent, have explained the reasons why we have such a good momentum in business growth. And also, I would like to share with you some specific experiences. So, in the past year, we have done a lot of work in the following aspects. First one is to improve the credit structure. For example, we try to further strengthen the support of the real economy. And in 2024, the real economy loans have increased by 10.1%, which accounts for 93.8% of the total domestic loans. So, you can see that this improved credit structure has actually improved the returns for those loans. So this is part of the reason. And secondly, it's about the pricing and quantity balance. So, while improving our quality of service, we try to optimize the pricing of our assets and also to implement relevant requirement and also in order to maintain the NIM decline within a reasonable range. Last year is 1.42%. So, we can see there has like three big decline compared with that of last year, previous year. And also for non-interest income, well, against the background of fee concession, we're trying to seize the opportunity of consumption upgrading and focus on the consumption and needs of our customers. We can see that currently the non-fund -- or non-fee income is around RMB75.6 billion. And for our investment business, revenue increased by 8.5%; credit card businesses, 3.8% growth; and wealth management business have also maintained very prudent growth. And also, we see the opportunity in the bond market. The other non-interest income have also maintained growth. And the fourth way is we've controlled the risk cost. In 2024, the asset quality has been improved. The NPL is 1.3%, which is a little bit down, like 0.03% compared to the year beginning. Credit loans have also increased a lot, decreased a bit. And for loan provision, it exceeded RMB100 billion. The risk compensation capabilities also remained high. So, that is why -- or what drives our operating income and also profit growth. Looking to 2025, as I've just mentioned, what's our expectation for the market? As I just mentioned, we still have confidence in the future that we will maintain the profitability growth. And we will also try to do our work in the following aspects. The first one is we'll continue to seize the opportunity in economic development and promote the high-quality growth of ABC. And also, there are a lot of package of policies issued. This will actually bring us a lot of new growth points. So, the key is whether we can actually seize this opportunity to seize this development point. This is quite important. And also, we need to build a modern industrial system, the green finance, and all these are opportunities for us in the future. So, while serving the national strategy, we're trying to realize our own high-quality development. So, for the first two months of 2025, we can see that the loans and the deposits have maintained very good growth with improved operating efficiency. So, basically, you can see that the growth in the key areas have been higher than the average. And here I'd like to share with you some data. The first one is recently for PBOC financial inclusive loan, we have exceeded RMB5 trillion threshold. And for personal loans, we're the first among our peers to realize the RMB9 trillion. And also for private-owned enterprise loans, we've also exceeded RMB7 trillion threshold. For county-level loans, we can see that the growth rate has become 47%. So from this, we can see that in the first two months of this year, in 2025, we have really done a lot while serving the national economy. That is to say we've realized our own growth. Apart from the opportunities, we also try to strengthen management. So, as I mentioned, balance the pricing and the quantity and also to ensure the interest-bearing assets growth and to improve the interest -- gaining assets structure and to also seize the opportunity of the market and to strengthen the deposit base. So, also we need to balance the price and quantity and try to ensure the stable growth of NIM. And thirdly, we need to strengthen our judgment and analysis and to promote the growth of non-interest income. So, we need to ensure the fee-based income to grow and to improve its contribution to our total income. And we can see that there has been huge room for the non-interest income. And also we need to strengthen the management to ensure the asset quality stability. So, we need to balance our business and try to strengthen the risk management control, specifically in the following -- in specific key areas, so as to provide a sound foundation for the long-term and sustainable growth of our profitability. Thank you.
Liu Qing: Thank you, President Wang. Now, the next question. The friends on the right.
Unidentified Analyst: Thank you. I'm from Xinhua News Agency. My question is about deposit. Last year, the deposit growth in the banking sector is actually under pressure. So, what's your judgment and estimates for the deposit this year? And are there any further room of decline in terms of the interest-bearing assets? And also, under such circumstances, in terms of -- what are the measures you will take in terms of optimize your liability side assets -- liability?
Lin Li: Thank you for your question. To balance asset and liability business. This is quite critical for us. So, I think the key is to ensure match, and also through constant internal pricing ability to promote the high-quality operation and development. In 2024, we have been supporting [indiscernible] control and we actively conform to the rules on changes of the market to promote the deposit growth. So, this high-quality development of deposit shows three matching features. The first one is loan reserve increase, which is in line with the -- such needs. So, we can see that the deposit growth is around RMB2.2 trillion. We can see that we're still ranking among the top amount up here. And for personal loans, daily average volume have been increased by RMB1.74 trillion. So, this data actually shows that we've provided strong support to the real economy. Secondly, deposit growth is in line with the requirements. Last year, we've been continuously consolidating the development to promote deposit growth at the end of 2024 loan deviation ratio is 0.4%, down by 0.1 percentage point. So, this is quite uneasy for us because we've done a lot of work. This deviation and the improvement in deviation ratio is also the best among our peers. Deposit growth can actually ensure our credit extension in a balanced way. And third one is the asset utilization and return. So, we can see last year interest-paying ratio 1.56%, that is 0.15 percentage points compared with the previous year. And for interest, there has been a reasonable difference between the interest bearing and interest paying. And for the future trend of deposit growth, for us, we think that last year, at the end of last year, the central government raised that we need to implement the moderately easy monetary policy so we can see there's been moderately monetary growth and the deposit growth have also created very good monetary and physical policy. So, we estimate that this year the deposits will still maintain the balanced growth, and we will continue to build customer base to promote deposit growth as to better serve the rural rejuvenation and the real economy. In terms of the interest cost, last year, we can see there have been twice the landing rate downward adjustment. So, we can see that has been improved mechanism in this aspect. So, we estimate that the cost will be reduced to some extent, mainly based on the following three reasons. The first one is that since last year, the deposit rate downward policies will be further unleashed. And secondly, after these policies have been managed, we think that this will actually further reduce the cut, reduce the pressure in this aspect. And secondly, there has been interest cut cycle. So, we can see that the foreign currency interest cost has been decreasing. So, to some extent, we think that the interest paying will -- cost will be still going down. And last year, we can see the time deposit accounts for an increasing percentage. This increase has been not as much as previously. But how do we look at this figure? This means that there has been more resilience in deposit, but if we look at the maturity, it actually relates to the trend of interest rate. When there is low interest rate, the long duration of a deposit will be better for us to manage the full cycle of the deposit. And also, we can see it reflects the changes in people's wealth management behaviors and also in the financial market. So, is economy turning for the better consumer's confidence in the market [indiscernible] better for the adjustment of the liability structures in the future, if you see to meet the customer's requirement and demand. We're going to optimize the liability structure to support the credit supply to the real economy major four aspects. The first one is to focus on the customer-based development. This is the priority of the priority. And to be more specific, I want to expand the customer scale. Well, at the same time, I want to optimize the customer structure. And the third, to promote the deep-rooted customer and to enhance the customer experience, use high-quality products as well as a convenient financial service to enhance the goodness or loyalty of the customers and also to strengthen the core competitiveness. To be more specific, enhance our [rural rejuvenation] (ph) and include the finance, pension finance, to continue to consolidate ABC's the county business as well as the retail business. That is our comparative advantage. And third, we need to enhance the intelligent -- the IT measurement to have a stratified management of the customer so as to enhance the deposits products into the service to enhance the revenue of the sources of low cost and also we need to do digitalization transformation in the digital development of ABC to participate and promote the digitalization application in the rural areas so as to provide a comprehensive and a diversified financial service so as to enhance the high-quality development of the deposit business. Thank you.
Liu Qing: Thank you, Mr. Lin, for the answer. Next question, please. Online question.
Unidentified Analyst: Thank you for the opportunity. I'm from the [indiscernible]. I have a question about the increase of the credit in 2024, the credit [indiscernible] growth, the speed, ABC, what is the reason? And what will be the growth rate of the credit supply and the key areas of the credit granting?
Wang Wenjing: Thank you for the question. I'd like to give the floor to Mr. Liu Hong, Vice President of the ABC, to take your question.
Liu Hong: Thank you for the question. In 2024, ABC implemented the strategic deployment of the country focused on main business and focused on two missions, focused on key areas and key -- where the weakness of the economies, provide high-quality service for the high-quality economy. Credit granting maintained the stable growth in terms of scale and also optimize the structure. First, provided service to the real economy, increase of the coverage and scale, loan balance reached RMB24.9 trillion, [lead] (ph) 2.3%, 10.1%. Corporate alone, RMB1.4 trillion growth, 10.6%. And the customer was alone, 85,000, growth rates of 9.4%. Volume and speed are higher than that of the previous year, leading among the peers. And the newly added customer 785% contribute to the county-level balance reached -- the [indiscernible] county-level balance, more than RMB1 trillion accounted for more than 47% and growth rate, 12.3%. And 22 percentage points higher than average of the ABC. And the rural and county level growth rate, 21% and 14.8%, higher than the any of the average growth rate of the bank wide, and rural loan, 36.6%. And the five key areas of financial sector grew fast and the strategic emerging grew green credit more than 22%, and the manufacturing growth rate 20.2% higher than average loan growth rate of the bank. Inclusive finance sector loan balance, RMB4.68 trillion, newly added more than RMB1 trillion. Private sector loan balance, [6.53%] (ph) balance, and the growth rate where volume higher than the peer and also pension loan more than RMB10 billion. And also faster response to the stimulus packages, implementing the financial mechanism on the rural areas, new sectors and also enhance the credit revenue, provide more than RMB400 billion to the white list real estate projects and it provide in the SMEs financing 2024. Provide the companies within the list, RMB704 billion and also providing services to the major infrastructure and projects and to provide in total more than RMB740 billion. Infrastructure contractor volume is ranking them on the top of the peers. And credit card and an individual or personal loans, growth in speed and volume are also ranking them on the top. Retail credit advantage has been consolidated. And also with leverage on their outlets, wide coverage in our areas to optimize the individual loan businesses. And the credit card and business card increased by more than RMB94.8 billion. And also the credit card increased more than RMB650 billion by the end of Q1 this year. The credit card loan balance exceeds RMB9 trillion. And this year, there will be a more active monetary fiscal policy and committed monetary policy. So, there will be a credit amount in the real economy. ABC seek steady growth, while at the same time, seek innovation for the key areas to enhance the financial service for the key areas and also to enhance their volume structure and the pace of credit granting. The total credit volume will be grown in a steady and balanced way, provide service to the rural areas and provide financial services to the planting in spring and also provided granted the credit support to the key areas of the agricultural development. And accelerate the loan to the farmers as well as enhance the percentage of the county-level loan balance. And also provide financial services to the domestic consumption stimulation provide service to the water system, urban infrastructure as well as transportation. And also to explore the traditional consumption and new consumption models, consumption demands such as tourism and a pension, and also enhance the benign growth of consumption loan and also meet the first-time buyers as was a bit demand for the replacement, demand of the housing needs. And third, promote inclusive finance development as well as suspension risk to the private sectors and elaboration on our advantages in the rural areas and the group-wide leverage advantages as well as technologies to provide needed to the private sectors and small- and medium-sized enterprises and enhance the demand where the sector for the green finance focus on the traditional grain upgrading as well as a grain development provide the credit supply to the environment cleanup as well as ecological protection sectors to enhance the green credit in county levels as well as green credit to the small- and medium-sized enterprises. Thank you.
Liu Qing: Thank you for the answer. Next on-site question, please.
Unidentified Analyst: Thank you. Hong Kong Wen Wei Po. After listening to the opening remarks about the asset quality in 2024, but we saw some risk in some areas of management. What is the outlook for the asset quality management? And what are the sources and pressures? And what kind of measures will be taken to mitigate those risks? Thank you.
Wang Wenjing: Thank you for the question. ABC has always put risk prevention and management at the top of the agenda of the work. We focus on key areas, risk management and enhanced risk management base. And those asset quality has been ranking among the top of the -- among the peers. In overall NPL ratio 1.3%, special mention loan ratio 1.4% down from the year beginning. And the difference between overdue loans and NPLs has been negative for 18 months and also mitigate the risks and the provision coverage ratio is high. So, we have maintained a high and strong risk offset capacity corporate loan. Asset quality is good. NPL ratio 1.55%, and that has been maintained as a downward slope for four consecutive years. Individual loan, 1.03%, a little bit upward from the year beginning, but the overall asset quality is at a good level. We do believe that the trend is in line with the overall banking industry sector as well as our expectation. And for the key sectors, asset quality is stable while getting to the better for real estate sector NPL ratio has been down 2 bps from the year beginning. And in promoting the rally up and some development to real estate sector as well as combined with the risk management, we have achieved overall stable NPL ratio and the local government debt to risk within the package estimate measures from the central government and the financing vehicle customers ratio and the number has been going down and asset quality has been stable overall. Outlook for this year, asset quality of ABC will continue to be maintained at a stable level. NPL ratio will be kept at a good level among the peers. And the indicators like overdue ratio and NPL ratio, special mention loan ratio will also be at a control level and also will have a sufficient risk resilience. To be more specific for external environment, we do believe that China's macro economy is moving forward, that is the fundamental. Such kind of fundamental has not been changed and has provided more favorable condition for the operation of ABC for the asset quality management. ABC will continue to work on the development while manage the risk, but managed -- risk management always goes first. And also to provide support to the strategic development of China. And also, we will be very stringent in terms of the customer eligibility and lending underwriting. And we'll continue to focus on risk management in key areas. And based on what we have done last year to enhance the key area management of the real estate sector and also to manage the large exposure with borrower-specific policies. And for local government debt, we have a provincial-specific policy to mitigate the local government debt. And also, we are doing the sweeping risk health check of the large customers, and we have a more proactive and more smart risk management system. But at the same time, we'll continue to enhance our risk management inclusive financial [indiscernible] business. In those areas, risk management has give -- got a high-attention priority from the bank, for example, eligibility management optimized our product model and also diversify our source -- data source and also optimize our processes and policies, procedures and we enhance the organic integration between online/offline operations as well as procedures, while sometime we enhance the collection as well as a disposal. We do believe that with those above mentioned measures, we are capable of keep stable asset quality. ABC will continue to work hard to work within the -- as best as quality and most sound development. Thank you.
Liu Qing: Next question, please.
Unidentified Analyst: Thank you. Economic Daily. In the last two days, we mentioned the personal loan balances reached RMB9 trillion as retail large bank. What are the development philosophy and strategy in retail business? I know consumption stimulus is a very important national policy. So, based on this macro policy background, what is the outlook and growth point of the retail business of ABC? Thank you. Thank you for the question.
Unidentified Company Representative: Thank you. Thank you very much for your interest in the retail business development of ABC. Retail business is related to the households and the people and retail business is the most important part of inclusive finance. In recent years, ABC retail business, so we focus on high-quality development while complying with the one, main business line, and the two, business model. So, the main business line is the focus on customer management. Large wealth management and digitalization transformation are the two supportive pillars. So, focus on the customer-oriented management operation and also focus on three transformations. First, the operation focus on the product to sell to the customer management experience enhancement. And for the management has been shifted from the traditional finance to new finance and also operation method has been shifted to digital-driven. Well, so our focus will do a good job in the five key chapters of finance and provide service domestic amount as well as consumption. So that will have a reasonable volume growth as well as improvement of the service quality so as then to refresh their brand of people's finance for the people. Last year, the personal customers exceeded RMB818 million. And personal loans, financial asset scale exceeded RMB32.3 trillion, maintaining a leading position among our peers. For the whole year, the retail business income is RMB390-or-so billion. So, we have realized the fee income of retail business is RMB40-or-so billion. And the personal loan deposit is around RMB18.7 trillion. There has been five key indicators maintaining the top among the peers. For personal loans have also been increased for five consecutive years, leading among our peers. For wealth management, private banking, credit card business, mobile phone business, these have also been maintained very good momentum. And in terms of the channel integration and et cetera, we have also maintained new achievements in this aspect. Among the international authoritative assessment. ABC has been for four consecutive years been awarded the top of the best retail banking. And with China, still central government continue to promote consumption, we can see that many people are very -- pay a lot of interest in personal loans. So, now I'd like to introduce to you ABC's personal businesses. For personal loan business, we mainly focus on steady growth, expanding demand, improve people's welfare and serve the rural rejuvenation. And also, we have a wide coverage in terms of services. So, we actually achieved progress and meet stability and also seek optimization of our business and meet stability to satisfy customers' needs for consumption, small and medium-sized enterprises and private-owned businesses, their needs. Last year, we extended personal loans, RMB6.8 trillion, and with -- the total share is around 53% of the market. And we can see there have been 9.4% in terms of the growth rate. NPL is 1.03%. Provision coverage ratio of 296%. Generally speaking, the asset quality remains stable. And also about home loan, that is the RMB600-or-so billion. For operational loan, RMB3.2 trillion increased by RMB600 billion or 35%. So, excluding credit card business, the residential consumption loans is around RMB500 billion, increased by 39.8%. For credit card business, the increase is around RMB150 billion, so increasing a lot. For credit card consumption, it exceeded RMB2 trillion. NPL is around 1.46%, also leading among our peers, the best among our peers. So, we can see there has been good momentum in our economy. And there's been favorable conditions, which will actually enable us to better serve the real economy. And also from this year's development, we can see the personal loan business has actually been maintaining very good momentum. So, previously, on March 17, you may know that we have already exceeded a certain number in our business, but there is another information that has not been disclosed. Actually, our liability, the personnel side, we are also the first to exceed RMB19 trillion. So, up to now, we have accumulated extended RMB2.07 trillion. In 2025, the focus of our personal loan business is on the following four aspects. The first one is to serve the customers with greater power. We also will implement a lot of the central government policies and to further enrich or diversify our financial products to enhance the financial supply and we organize these credit backup enhancement plan. And secondly, to ensure the resource. So, in terms of the loan maturity, the interest rate. We are trying to provide more convenience for them. And thirdly, we'll try to incorporate this product plus ecology. For key products, we will also try to do more in order to expand the new customer demands. And fourth is to serve the rural economy, the private-owned enterprises and the rural development. On one hand, we implement the central government policies on the private owned enterprises, which is mainly to promote or uphold the philosophy of financial neutrality. And on the other hand, we hope that through city plus county, to promote and optimize the agro-related products to upgrade and iterate the product model and to strengthen or enhance the credit extension in this aspect. And thirdly, to improve the business processes. So, we'll have the tailor-made policies provided to different regions and areas so as to improve our service to the small and medium-sized enterprises, private-owned enterprises and et cetera, to improve the financial availability to them. And thirdly, to actively promote the recovery of the housing market. So, seeing the opportunity of the housing market development, we will try to actually provide and optimize our product policies and to improve our services procedures, so as to actually enhance the mortgage loans to meet the first-time or second-time mortgages and to further seize the opportunity of the potentials of the housing market and also to balance the development and security. So, we will rely on the digitalization, the intelligent development so as to build a more secure or safer system. We will also strengthen risk management control and to improve the full process, full cycle arrangement system as to make it more effective and well coordinated. And thirdly, for personal loan pricing, what's our comments on it? Well, in terms of balancing development and security, we will stick to balance the management between pricing and quantity. And we will also try to stick to the risk pricing policy. For large bank, we should have our -- show our responsibilities. We will try to maintain the benign development environment. And also, we will try to ensure the authenticity in the long extension. We know that if there is the real customer with real needs and then the risk can be controlled actually. So, the key is to ensure the projects, the borrowers are real and authentic rather than -- like rather than there is like fraud. So much for me. Thank you.
Liu Qing: Thank you. Next. Gentleman, please.
Unidentified Analyst: Thank you for this opportunity. So, my question is about noninterest income. We noticed that last year, the fee income is turning for the better. I'm wondering what's your expectation for it in 2025? Where are the growth points? And for other noninterest income, they have also been growing really good. So what's your expectation for that this year?
Unidentified Company Representative: Thank you for your question. I would like to invite our Vice President to answer your question. Mr. Wang?
Wang Wenjing: Thank you for the question. For 2024, ABC has been serving the real economy and to stay customer-centered philosophy and to improve our comprehensive financial service and also we try to rise to the challenges of the financial volatilities or turmoil. As you mentioned, the net fee income is turning for the better. So, the total net fee income is 75.6%. Although there has been a slight drop, but it's a 2 bps jump from the previous quarter. In 2025, we'll keep track of the market development, we will try to seize the needs of customers in wealth management and provide them with integrated our wealth management so as to promote the high-quality development of our noninterest income. So firstly, we'll try to stick to a consumption-oriented development, we will try to expand the consumptions in narrows, depend our cooperation with e-commerce platforms and also to consolidate value creation of our consumption-related business. Secondly, we will also try to seize the development opportunity of the capital market to better deploy our product, leveraging AI and also to better allocate our assets and improve our service. Thirdly, for integrated business, we'll continue to build a modern service system and to provide the syndicated loans, the consultancy, the bond underwriting and custody and et cetera, as to improve the integrated service capabilities of the bank for the fee income or non-interest income. Last year, under the easy monitory policy, we can see there has been decrease in bond use. And in September, there has been a lot of policy issued, which actually drive the market to go up. We can see that the fee income, the contribution to our profit has been increasing. For the whole year, we have realized RMB53.4 billion in terms of the fee income with the growth rate of 26%. So, I can see that there has been 1.4 percentage points growth in year-on-year. In 2025, while implementing easy monitory policy, and to promote the stock market development, with the launch of the package of policies, it will actually promote the financial market return for the better. But we are also aware that we -- the increasing complexity both internationally and domestically, there has been like dual way fluctuation in the market as well. So we will seize the market opportunity, keep track of market changes and also dynamically adjust our asset allocation and to enhance our revenue generation capabilities. Thank you.
Liu Qing: Thank you, Mr. Wang. So, we have a video -- we have a question from video analyst.
Unidentified Analyst: Thank you. I am from Morgan Stanley. I like to ask a question about the county-level business, which is an advantage of ABC. So, for ABC, what kind of opportunities will such county-related business bring to ABC so as to maintain your advantage in the market and what can we do to better actually improve this business's contribution to a profit?
Liu Qing: Thank you for your question, We would like to invite Mr. Wang Wenjing to answer your question.
Wang Wenjing: Thank you for your attention to the county-level related business. The total loan is RMB9.85 trillion. So, the total increase in amount accounts for over half of the total incremental loans, that is 47% or so. So, in 2024, the agro-loan growth is 36.6%. This is a really fast growth. To improve the integrated rural areas and urban areas, the system is also intended the new type of remuneratization straight to like stretch layout. And Third Plenary of 20th CPC Central Committee [indiscernible] this year have laid out important policy developments, that has provided the business development of the county levels of ABC. Those are the policy windows as well as very favorable market opportunities for ABC. First, the new matured customers, for example, like broadcasting as well as rural related tourism as well as other experiences at ABC have more opportunities, has more opportunities to combine with the new entities in the county levels and rural areas to grow together with them. And second, the new quality development of rural areas versus special government bond and local government has going into the high standard farmland as well as the urbanization of rural or the city -- the people living in the rural areas and ABC will provide key areas of the revitalization. And there is a huge potential for us to develop. And also, for the favorable policies and new news as well major projects, for example, the EVs and smart home appliance as well as rural area and tourism's potential has been revitalized. And also, demand will be very huge in rural areas as major state-owned bank providing service to revitalizations, ABC will continue to cement businesses and also further tap into the rural areas and county areas and provide a better service, more focused, more solid and a more balanced service to tourists. Now, one, we need to do our job well in the following four aspects. First, continue to enhance our financial supply in the county areas and implementing the development policy of rural areas, the country and also provide financial resources to the county level rural areas and also enhance the proportion of agro-related loans. And provide service into the revitalization and also the comprehensive rural vitalization. Provide the full life cycle supply chain and ultra long-term government treasury bond and special government bond to sink down into the rural areas, and also work strongly to consolidate our poverty alleviation work and also implement the no refinancing policy. And a balanced and by strong support and also no systematic falling back into poverty to provide support to those people who have been alleviated out of poverty and also to work comprehensively to provide consumption targeted health assistance as well as talent support and also the correlation between the Eastern Coast area and Western area of China. And also, consolidating the key areas financial service to revitalization provide service to the high standard farmland as well as the model innovation in providing service to the farm agricultural machines and to provide support to them for the supply chain of the agricultural development, and to provide the dedicated financial service plan for the integrated development of rural areas and urban areas. And also, provide credit support to the batched as well as the chained and group-based service model to provide the new product forces of the agricultural areas. And also, we're continuing to focus on the channel person to sink down to the county in rural areas and also to the newly built outlets will be moved or tilted to the rural areas and also explore on the mobile or roaming or flow the service outlets and also upgrade our [indiscernible] service models provided financial services to the township areas and also enhance the county or the CRM team building in providing services to rural areas to enhance the capacity and a level and the standards of ABC providing service to the rural areas. Thank you.
Liu Qing: Next question, please. On the front row.
Unidentified Analyst: Thank you. [indiscernible] Now with the application of technology with the business operation of the bank, my question is in the smart bank development, are there any new progress? Last year, APC rolled out AI plus developmental measures. So, in AI and smart bank building, are there key outlines or key strategies?
Wang Wenjing: Thank you for the question. I'll take this question. ABC continues promoting the smart bank development as well as integrate into the Digital China development initiative and also enhance the application of AI and accelerate development of technology, digital management of the bank and also improve the quality and efficiency of digital finance and initial results have been achieved on four areas. First, digital products and the scenario ecosystem has been improved. For example, e-loan has been increased in terms of the scale by the end of last year, e-loan balance was RMB5.73 trillion, an increase of 34.8% from the year beginning of 2024, and also put out [indiscernible] e-loan, and as the torch loan as well as other credit products and also online finance and smart parks and pension financial service and also deepen our service in the healthcare, government service as well as other scenarios. Also financial services, digitalization in the financial service in the rural areas by the end of 2024, [Huinong e-balance] (ph) of RMB1.5 trillion. We upgraded Huinong E-loan service and included grain, cotton, tobacco, as well as husbandry, as well as other data and to creatively roll out a series of products to the farmers and also have ABC Huinong Cloud service platform. By the end of last year, this platform have 264 institutions and also provide 6.5 million, covering 2,657 counties and provide total volume of around 10 million. And another one is online and offline channel coordination and the mobile banking development. We are the first one among peers to match it to the HarmonyOS system and rolled out 10.01 system and MAU for Personal Banking to 150 million, and this is leading among our peers. And also, improving the super workdesk of CRM and also provides service to the mobile working to -- and also provide the -- all of the demand of our CRM and provide better service to our customers and also have our mobile or the centralized handling process. And also, we have around centralized 21 businesses that can save around 140,000 working hours of our workers. And also the digital base as well as the technology base has been further improved. We enhance the enterprise-level digital assets organization and also built a taking center decision engine as well as other digital tools and lower down the threshold of digital application. And we also strengthened the technology security management and also build our basic algorithm as well as the maintenance of production as well as cybersecurity management to enhance the business continuity. Your second question is about the AI plus one policy. AI policy. AI now is hot topic now. And this policy rolled out by ABC has described in the integration between AI and to the banking system, including the roadmap, measures, advise strategies. There are two [indiscernible], eight areas and six aspects in the three phases. So this is a systematic layout to deploy AI plus work. To be more specific, first, a scenario development to build eight smart areas. We focus on improving the efficiency and quality, lower down the cost as well as enhanced risk provision, use the digital sensitivity of AI to provide a decision-making as well as the content generation support in credit management and risk management of channel operation as well as marketing and maintenance and work space, that's eight scenarios. We deploy the AI plus application in-house in the content operation as well as a service to our customers to provide a service to the high-quality development of the bank. And systematically build and implement AI plus the whole scenario application on six aspects. We built ABC application of system of AI business to accommodate or adapt to the changes by AI to build robot [indiscernible] plus manual processing. In digital application, we use a high-quality data as well as a knowledge process to lay the foundation for the deep and comprehensive application of AI and also build an accommodative compatible AI computing infrastructure build AI plus data-driven structure in model, we build in multi-mode and multi-type model matrix and build one-stop model development and maintenance and monitoring so that the multi decision-making as well as operating model in terms of security, we build AI application infrastructure, security, model security, data security and application security system to ensure the data will go out of the domain, the model will not be connected to the Internet. And in terms of ecosystem based on the smart bank development to build, we will enhance open development so as to promote the AI application in financial sector. And so, we have our face-based development by the end of 2025 and in the middle of 2027 and the end of 2029 will be three milestones to implement this policy according to time schedule with the high-performance model, DeepSeek, rolled out and the financial sector also paid a lot of attention to this. And ABC also followed very closely to this. And with the integration of DeepSeek in the bank, for example, smart workplace and smart marketing, we have applied DeepSeek and initial results have been achieved. Looking forward, we will -- based on the guidance of this policy to form AI multi-scenario deep and wide application and further provide strong support to the development of ABC. Thank you.
Liu Qing: Thank you, Mr. Wang, for your explanation of the smart bank development of ABC. Next question, please.
Unidentified Analyst: Thank you. [indiscernible] pension finance. We've noticed that aging population is a feature of China, and that has brought the opportunities for the pension finance of financial institutions. So, in providing service, doing a good job in the key five chapters finance, what are the measures in pension finance and what are the key work areas in terms of pension finance?
Liu Qing: Thank you for the question. I would like to give the floor to Mr. Lin to take this question.
Lin Li: Thank you for the question. For doing a good job in the five key chapter, those are the missions of the major state-owned banks of China. And we have a deep understanding of the five key chapters. So -- and the great tradition of China is to ensure the old have a good [indiscernible] life and ensuring the young or the children are well nurtured. And we implement the strategy of the national policy and also we looked into it and also formulated the implementation plan of the high-quality developmental pension and finance, which is based on the foundation and for the long-term dividend, we have around 190 implementation policies as well as the branding development of pension finance and progress -- the positive progress have been achieved. In our specific work, there are three aspects. First, value driven, we implement people-centered value. First, enhance the three pillars of pension fund coverage, EPC outlets as well as the real social insurance as well as the RMB280 million -- RMB180 million and RMB70 million and leading among the peers in terms of the physical social insurance card and healthcare QR code as well as the scale in those pension fund areas has been grown rapidly to 24% and 34.4% and we actively promote and explore the Pillar 3 pension fund, and we have provided service for 24 million. And we enhanced the operating of the infrastructures and formulated the dedicated work plan and invested in the ring fenced fund. And we have 20 -- all of the outlets have been upgraded to make it elderly-friendly. We've built almost 300 age-friendly outlets. Thirdly, we will promote the economic development. The head office have issued 12 differentiated credit policies in terms of pension, finance, the credit approval pricing performance evaluation. We will actually have certain consideration in terms of the policy side. And for pension loans, it is around RMB11 billion, up by 68%, among which for private-owned enterprises accounts for 61%. So, we can see that the private enterprises have actually played a very important role in the pension finance area. So, ABC has supported the pension-related bond investment equity investments exceeding RMB21.6 billion. And then, we need to strengthen the reform driven and focus on innovation for us to serve the needs of the customers in terms of financial or in terms of the pension finance. And also, we hope that we can make progress in this aspect. In the past year, for offline/online, we've accepted 100 million of customers for such services. And our hotline have also been trying to offer the one-click transfer service of the customers. And in terms of from mobile banking, we also have this online finance plus nonfinance scenario service philosophies. And also, considering ABC's philosophy, we have like [indiscernible] service station. This actually is located in different villages and counties. And also, we have like specific task forces as to improve the service coverage in rural area. In terms of the product, we focus on customer needs, and we also cover insurance, wealth management, fund, precious metal and et cetera so as to cover various types of products in terms of pension finance. So, currently, we have a wide range of products offered to our customers. And also, we have launched different types of products in order to meet customers' needs in this aspect. And then, for digital driven, we will keep customer-centered and use the AI and also data to promote the digital development of the pension finance. So, we will try to build the intelligent pension homes and also, we would like to actually implement the smart intelligent pension system. So we will take into consideration the status of the life stage and the needs. We have like 16 subgroup in terms of the product configuration. And also for staff at experts in digital cloud which is one clear, which means if you ask them, then you'll get to understand quickly. So, we will have such staff help us to actually better serve the customers. Going forward, we'll continue to be dedicated to promote the full product development and the full coverage. And also, we would like to serve our customers through multiple dimensions. So, we think it's like a very full and comprehensive extensive coverage to our customers. So, we would like to join hands with the public to better build a community for the elderly so as to provide quality service for them to improve their experiences so as to improve service in this aspect. Thank you.
Liu Qing: Thank you, Mr. Lin, for your answer or responses. Next question, please.
Unidentified Analyst: Thank you for this opportunity. I would like to ask, not long ago, we have this seminar on private enterprises by the central government. We know that private enterprises [indiscernible] accounts for 90% of our economy and ABC has been leading for us in serving this to groups. So I'm wondering, last year, in terms of financial inclusion and serving the private enterprises, what have you done? And also for this year, what is your targets and strategies for serving this group of customers? Thank you.
Liu Qing: Thank you for your question. President Liu, please.
Liu Hong: Thank you for your question. So, for ABC, we implement the spirit of the central government meetings and also the financial work conference. We implement the policy to serve the rural economy and the real economy and to also deepen the agro-related development. So, specifically, we will try to be better adapted to improve our service in serving the small medium-size enterprises and also to meet the diversified financing needs and also to improve the financial affordability and availability issue. And also, for ABC, our loan balance is RMB6.5 trillion financial inclusion loans, RMB4.6 trillion. So, we can see that this loan has been growing a lot. And for the borrowers for small medium enterprises has increased by [indiscernible] for us. And for private-owned enterprise loan balance RMB6.53 trillion, up by RMB1.08 trillion. So, we're also trying to better coordinate our service for these two customer groups. And also, we will look at different indicators, and these indicators also rank top among our peers. And recently, we have also been implementing the spirits of President Xi Jinping in this private business seminar. So, for private-owned enterprises, their loan growth have been increasing compared with the year beginning. And with the loans also exceeded the RMB7 trillion threshold. Financial inclusion loans have also exceeded RMB5 trillion threshold. And the borrowers have also exceeded 5 million. So, for these two types of loans, we have the largest coverage and the sustainable development of these two businesses have also been strengthening. In 2025, we will continue to implement the important spirit of the President Xi Jinping. And also the guiding opinions of the three council in improving five priorities in the financial sector. We will do the following work. First, focus on the key areas to strengthen credit extension, especially for the private enterprises and also the financial inclusion or SMEs. So, we believe that it will -- the loans to private enterprise will exceed RMB7.5 trillion. And we'll also focus on rural rejuvenation, expands demand and boost consumption and serve our -- serve and improve the financial availability and accessibility in key areas. We'll also try to promote the coordination mechanism with the housing market and also make private enterprises, fintech, foreign trade enterprises be included into the SME, and we will also expand the service coverage for them. In addition, we'll also have dedicated credit resources. And also, we'll have more granular pricing capabilities and to improve the non-principal payment policy. And also for SMEs, we're trying to provide them with fast track or convenient services. On the other hand, in terms of the service model innovation and also the system development and also talent training. We will improve our service capabilities to private enterprises and SMEs so as to improve our service for them. Thirdly, we will have this bottom line philosophy to strengthen risk management control. We will also promote risk provision and also to promote our growth so as to seek a new model in this aspect for ABC. We must also consolidate the risk management control foundation and also to ensure compliance risk management. Thank you.
Liu Qing: Thank you so much. So, now we have this opportunity to the online participants. Please, the working staff choose a question that is a about public concern or interest. So, I'd like to announce the Internet questions. The first one is fintech. Fintech is actually a very important aspect. In 2024, where is the fintech development? And going forward, how can we better support technology companies or tech companies? Still Mr. Liu, please.
Liu Hong: Thank you for your question. So for fintech or technology innovation is quite important. It also plays a very important role in the development of modern enterprises. ABC is large state-owned enterprise. In China, so we are also a leading force in the real economy. We'll try to follow the general layout and also, we will make it a strategic priority for us. We also allocate a lot of resources to it. And we have differentiated supporting policies as well. By the end of 2024, the strategic emerging industry loans is around RMB2.6 trillion, up by around RMB470 billion, growth rate 2.2%, and compared with the other loan growth, it's 12.3 percentage points higher. So, we've also tried to build the integrated service system. We'll try to follow these 19 scientific innovation centers and also try to build -- we have the special team and department. And also, like a specific dedicated technology branches and et cetera, in order to actually invest enough resources in this aspect. Our technology outlets is around 300 or so. And also, we will improve our service capabilities and model, we focus on the key enterprises and also try to innovate the dedicated credit service system, optimize customer assessment or evaluation. And for different customers, we will offer diversified financing products. And also, we will try to serve the technology companies throughout their life cycle. We've also launched a series of detailed rules, strengthen the performance appraisal and also put in place a lot of mechanisms in place so as to improve the service quality for them. By the end of 2024, the total loan borrowers exceeded 2.4 trillion, and we can see there has been fast growth that is like 90% or so. And then, for equity investment supply, so we know that actually credit services' advantage commercial banks, but actually tech company also have interest in equity investment. So, we were trying to cover our customers in this aspect to gradually establish a dedicated team in this aspect. We have 18 trial of pilot cities. We have signed the framework agreement with them. Like in Suzhou, Hangzhou and et cetera, we will continue to accelerate the establishment of fund and also the project launch. And fourth one is agro-related development or technology. We will still focus on the key areas in agro-related business so as to strengthen credit support and integrated services. We also have plans in place as to better serve the agro-related economies through technology innovation. And we've also have been awarded one of the 10 innovation models in China. For the agriculture tech parks, we rolled out the agricultural park loan products. And also, for the first customers we have already provided -- granted the loans to them. Looking forward, ABC will focus on the financial service, high-quality service related technology development and provide a service to development of the technology in the country as a whole and also optimize our portfolio offering and also leverage on AI and big data to cultivate expertise and personnel to enhance our service and financing support to the tech companies as well as other financial services. First, promote the high quantity of the financing. In 2025, we'll have the dedicated policies and also provide resources, more resources so that the water of the finance will be flown to the tech companies and also promote the credit granting as well as the equity investment and also provide -- improve the quality of financial service. This year, we have optimized the fintech organization based on the three-tiered service network and provide a dedicated financial service plan to the tech companies and different levels to provide the service personnel that are knowing technology as well as have a finance background so as to make the financial service more convenient to the tech companies. And also enhance the coverage of financial service, ABC, based on the different kinds of development stage of the financial needs of the companies to provide more suitable offerings to the companies and also promote the online -- dedicated online credit products for tech companies. And also provide the individual personal financial services to the people working in the tech companies for the investment bond and consulting as well as other whole package financial service so as to make the financial service more inclusive to the fintech companies. And we'll build an ecosystem. We will basically build a systematic philosophy so that the tech companies will play a very major role in innovation. We'll work with the research institutes, equity investment funds as well as the other universities so that we will build upon the synergy to provide a full life cycle comprehensive financial service to the tech companies.
Liu Qing: Thank you for the answering. We have a very productive session. For the sake of time, we will ask one last question. Please.
Unidentified Analyst: Thank you for the opportunity. [indiscernible] My question is how to prospect the NIM trend of this year? Will the NIM head to the bottom? And what are the measures taken by ABC to stabilize NIM?
Liu Qing: Mr. Liu will take this question.
Liu Hong: Thank you for the question. ABC Group '24 NIM was 1.42%, down by 3 bps from the second half. In terms of the trend, the decline has been slowed down, which would be at the back of the ABC's adjustment for their policies benchmarking to the policies and optimize the balance sheet structure and also enhance the pricing management and realize the asset and liability coordinated development in terms of the quantity and the pricing. Looking towards 2025, macro-ly speaking, and the support and fundamentals of the economy to going for sound way will not change, but there are also external externalities, for example, weak domestic amount as well as other potential risks are still there. And the business operation of commercial banks are facing some challenges. So, in 2025, the NIM of the banking industry will still be under pressure. For ABC, the change of NIM will also be the same or similar ways in the banking industry. In terms of the change of the NIM, because in 2024, the existing lower downward of the interest rate of a housing loan as well as a downward movement of LPR, and also the yield on loan will also be going down. But also on the other hand, the liberalization of deposit interest rate has also been paid off. And also, there will also be room for the lowering down of interest paid down deposits. And that in the liabilities side, also the interest of paydown loans will also be moving down. Finance are living together with the economy, the NIM of the bank is still -- the way for the bank to yield the interest or concession to the real economy, while at the same time, we also balance the sustainable development of the bank with the development and moving upward and rally of the economy, the NIM of the bank will also bounce back. And the maintenance stable level in 2025, ABC will be more proactively concession -- the concession to their economy while at the same time benchmarking to combine with the demand of the economy, optimize our balance sheet structure and continue to enhance the management of our balance sheet structure and also enhance the stability of providing source of the real economy. To be more specific, in the asset side, we'll continue to do a good job in the balancing the volume, pricing and risk management as in the leaders who said, the county-level area and the five key chapters of finance, we will enhance the balance sheet structure and also enhance the proportion of the high-yield assets and also enhance the effectiveness and targets of the pricing to balance the structure as well as the volume also balancing the pricing and volume. In terms of liability with the digital management to enhance the group segment and management of the customer bases, so as to give more resources with low cost and also leverage on the liberalization of the interest rate and also optimize the term structure of loans and also to lower down the cost of deposits in terms of portfolios offering. When enhancing the dynamic management of asset liability, use the volume as well as pricing tools to coordinate the duration and structure of asset and liability in terms of the interest rate risk and FX risk as well as mentioned, the credit risk to enhance the yield.
Liu Qing: Ladies and gentlemen, thank you very much for your participation in 2024 annual results announcement of ABC. Thank you, investors and analysts and friends from media for your long-term support in the development of ABC. Thank you very much for the senior management of ABC for your interpretation and sharing of the results. If you have any questions, please contact our Investor Relations team as well as our media or press team. With that, I will draw today's announcement conference to a close. Please leave for the conference room from the right side of the conference room. Thank you very much.